Operator: Good day, ladies and gentlemen, and welcome to the Insight Enterprises' Fourth Quarter and Full Year 2017 Operating Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host for today, Ms. Glynis Bryan, Chief Financial Officer. You may begin.
Glynis Bryan: Thank you. Welcome everyone, and thank you for joining the Insight Enterprises conference call. Just for your reference the slides that we have posted on the website associated with the call today, so you may want to look in those and follow along as we go through the script. Today, we will be discussing the company’s operating results for the quarter and full year ended December 31, 2017. I’m Glynis Bryan, Chief Financial Officer of Insight and joining me is Ken Lamneck, President and Chief Executive Officer. If you do not have a copy of the earnings release that was posted this afternoon and filed with the Securities and Exchange Commission on Form 8-K, you will find it on our website at insight.com, under our Investor Relations section. Today's call, including the question-and-answer period, is being webcast live and can be accessed via the Investor Relations page of the website at insight.com. An archived copy of the conference call will be available approximately two hours after completion of the call, and will remain on our website for a limited time. This conference call and the associated webcast contain time-sensitive information that is accurate only as of today, February 14, 2018. This call is a property of Insight Enterprises. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Insight Enterprises' is strictly prohibited. In today's conference call, we will refer to non-GAAP financial measures as we discuss the fourth quarter and full year 2017 financial results. When referring to non-GAAP measures, we will refer to such measures as adjusted. Adjusted measures discussed today will exclude severance and restructuring expenses and acquisition related expenses recorded in all periods, adjusted measures will also exclude the loss recorded in the third quarter of 2017 on the sale of our business in Russia, and the gain on the sale of real estate asset recorded in the second quarter of 2016, as well as the tax effect of these items. Finally, adjusted measures will also exclude the income tax expense recognized as a result of the U.S. Federal tax reform laws enacted in December of 2017. You will find a reconciliation of these adjusted measures to actual GAAP results included in the press release issued earlier today. Also, please note that, unless highlighted as constant currency, all amounts and growth rates are discussed in U.S. dollar terms. Additionally, any reference to our core business or the organic change year-to-year in our performance will excludes Datalink's results subsequent to the acquisition. Also, you will notice a change in the presentation in our press release issued earlier today. Our services have become a larger portion of a consolidated net sales at just under 10% for the year ended December 31, 2017. We have changed our income statement presentation to reflect net sales and related cost of goods sold separately for products and services. For comparability purposes, our net sales and cost of goods sold for the 2016 period have been conformed to the new presentation. I will discuss these changes in more detail in my prepared comments later in the call. Finally, let me remind you about forward-looking statements that will be made on today's call. All forward-looking statements made during this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in today's press release and in greater detail in our Annual Report on Form 10-K for the year ended December 31, 2016, and other subsequent reports we file with the SEC. For those following along, we’ll now move onto slide four and with that, I will turn the call over to Ken.
Kenneth Lamneck: Hello everyone. Thank you for joining us today to discuss our fourth quarter and full year 2017 operating results. For the fourth quarter of 2017, consolidated net sales were $1.8 billion, up 22% year-over-year, reflecting organic growth of 12% and the addition of Datalink, which we acquired on January 6. Net sales in constant currency were up 19% year-over-year. Gross profit was $233 million in the fourth quarter, up 22% year-over-year and up 19% in constant currency with gross margins increasing 10 basis points year-over-year to 13.1%. Consolidated selling and administrative expenses were $185 million in the fourth quarter, up 27% year-over-year reflecting the addition of Datalink and 9% growth in our core business. Adjusted earnings from operations increased 5% to $48.3 million. On a GAAP basis, earnings from operations increased 12% to $45.5 million and adjusted diluted earnings per share was $0.81. On a GAAP basis, diluted earnings per share were $0.39, which includes a onetime charge relating to the recent United States Federal income tax changes. Glynis will cover that in more detail in just a few moments. Our fourth quarter results reflect strong close to a very good year. I am also very pleased with the results for the full year of fiscal year 2017. Consolidated net sales were $6.7 billion, up 22% year over year in U.S. dollars and in constant currency, reflecting organic growth of 13% as well as the addition of Datalink. Gross profit was $919 million in 2017, growing faster than sales at 24% which drove gross margins up 20 basis points to 13.7% for the full year. Consolidated selling administrative expenses were $723 million in 2017 up 24% in 2017 reflecting the addition of [Datalink and 5%] growth in our core business. Strong organic sales growth in our core business in 2017 combined with the addition of Datalink and tight cost management in cost of business led to an increase in adjusted earnings from operations up 24% year-over-year to $195 million. On a GAAP basis, earnings from operations increased 20% to $179 million. And finally, adjusted diluted earnings per share topped $3 for the first time in Insight’s history coming in at $3.24 for the full year. On a GAAP basis diluted earnings per share was $2.50. Onto slide five, within our consolidated results for the fourth quarter, our North America business reported 30% topline growth year-over-year including organic growth of 17% and the addition of Datalink to the business. In the hardware category, growth was fuelled by demand for client devices and higher service sales, while in the software category cloud, office productivity and storage related software solutions were in higher demand. By client group we saw strong growth across our key client groups of large enterprise SMB and public sector clients with particular strength in large enterprise clients. Gross profit in North America in the fourth quarter grew 31% and adjusted earnings from operations increased 70% year-over-year. As we look back at the North America business for the full year in 2017, we are pleased with all that we have accomplished. We completed the acquisition of Datalink on January 6, 2017 and completed the IT Systems and back office integration activities by mid-year. We realized expense synergies ahead of our expectations and were pleased with the overall financial results of the business and its first year as part of Insight. We also added just over $1.2 billion to our topline in North America in 2017 including 70% year-over-year organic growth driven by higher volume from new and existing clients and the addition of Datalink which reported $524 million in net sales for the year. In our core business, hardware sales grew 26% for the year, gaining market share across North America from competitors according to third party data and reflecting strong growth in data center solutions as well as devices. We currently expect the device refresh cycle to continue to drive demand in the first half of 2018. From a profitability perspective, gross margins in North America in 2017 increased 10 basis points year-over-year. The effect of higher gross margins in the Datalink business were partly offset by lower margins and sales for large enterprise clients and lower services sales in our core business. And when combined with tight expense control across the business adjusted earnings from operations in North America increased 30% year-over-year to $161 million. Moving onto slide six, in EMEA net sales decreased 6% year-over-year in constant currency in the fourth quarter of 2017 and adjusted earnings from operations were $8 million down from $10 million last year, primarily driven by results from the Russia business in the fourth quarter of 2016 that were not replaced in 2017 following the sale of that business in the third quarter of 2017. For the full year 2017 in constant currency EMEA business grew topline by 2% and gross profit by 4% compared to 2016, executing well on its base business while continuing to transform to a leading cloud and solution provider across the region. As part of this strategy we invested in technical [Indiscernible] sales and service delivery team mates focused on cloud technologies and grew our services sales by 50% for the full year and were named number one in Microsoft Azure consumption in the region for 2017. In addition in the third quarter of 2017, we completed the acquisition of Caase, a cloud solution provider located in Netherlands which will further enhance our technical capabilities run Office 365 and Azure in the region. On slide seven, in Asia Pacific fourth quarter net sales decreased 22% year-over-year in constant currency. During the quarter, software sales to public sector clients declined primarily due to the timing of a single client agreement which is the largest driver of the year-to-year decline in earnings from operations. For the full year of 2017 our Asia Pacific business were challenged by growth and earnings from operations as double digit gross profit growth was more than offset by higher operating expenses. This increase in operating expenses is due to our investments to support cloud and services sales in Australia which we expect will improve our growth trends in 2018. Moving onto slide eight, late in 2017 we organized our sales and service delivery go-to-market structure to optimize the market opportunity around solution areas that our clients and partners care the most about. We adopted this in North America first and then quickly rolled it out to our EMEA and Asia Pacific businesses as well. We defined our solution areas as supply chain optimization, connected workforce, cloud and data center transformation and digital innovation. The supply chain optimization solution areas helps client mange their technology assets and logistics more efficiently. The Connected workforce solution area helps improve productivity and collaboration within the client’s workforce including Azure service models. The cloud and data center transformation solution area helps client to optimize and modernize the data center strategy on premise or in the cloud and the digital innovation solution area leverages innovative applications to improve client’s business performance and empower new revenue streams. Next on to slide nine, moving onto our 2018 operating plans. The IT industry is healthy and growing, more than ever clients are challenged to efficiently manage their day to day IT operations while they leverage technology to transform their business to bring value to their own clients. In fact our 2017 Intelligent Technology Index found that 85% of respondents see the company as an IT company at heart, where IT is not just about internal cost, but about driving added value for their clients. We have a full suite of solutions that we have developed overtime and acquire to increase in acquisitions which positions us well to provide value to our clients technology journey and to continue to compete in the market place. Across the markets where we do business, industry analysts expect flat to low single digit growth in hardware sales in 2018 and mid single digit growth in software and services sale. Our plans for 2018 are focused on driving growth in excess of the market across our operating segments. As we head into the New Year operating parties are clear. Our business is healthy and growing, in 2018 we will focus on accelerating the momentum gained over the last few years. To do this, we will leverage our four solutions sales strategy areas to simplify our value proposition, align to our client needs and organize resources to target key areas of market opportunity. The foundation of our business is supply chain optimization. We have decades of experience serving as a trusted advisor to our clients helping them efficiently manage the day to day IT operations. On the hardware front, endpoint devices are alive and well. Our clients access and interact with devices is changing. We also continue to be Microsoft’s largest partner globally, but at times consume software technology is expanding. These are just a few of the changes that will be a journey for our partners and our clients over the next few years. In 2018 we will celebrate our 30th year of business and we’ll focus on helping our clients continue to manage their existing IT assets smarter, while also building off range to meet their evolving needs. To that end our connected workforce solution area is focused on delivering next-generation consumption of range for our four business. As the service consumption models are gaining traction in the market place and with our hardware and software DNA our offerings are well positioned to help clients consume this technology more flexibly. In 2017, we won our first large as a service device deployment with the state of Kansas and we look to accelerate growth of these offerings in the commercial space in 2018. Next, helping clients manage workload smarter in a cloud world is at the core of our cloud and data center transformation solution area. In 2018, we will focus on this next phase integration and optimization of Datalink as part of our North America business in Caase in EMEA, [both of which are quarter] our cloud and data center transformation solution area. Datalinks technical sales and delivery sources will directly target hybrid cloud and datacenter opportunities across our combined client base. Moreover in EMEA, we will work to scale our datacenter services sales include the cloud consulting and managed services offerings added with the Caase acquisition as well as our existing modern workplace and license management services. Finally, we will invest an additional technical and development new source which allows expanding our offerings in the digital innovation solution area and allows to share repeatable intellectual property generated across our footprint, and APAC will also expand our geographic footprint for digital solutions by continuing to invest in the sales and delivery teams in Sydney and Melbourne, Australia. Wrapped under the new go-to-market structure is a continued focus on driving operational excellence across our business. In 2018, we’ll focus on profitability across every deal in every category. We have launched initiatives around order processing, procurement, pricing review and partner program execution to better optimize our deal level profitability. We also are looking at robotics process automation and business intelligent solutions to help us manage our back office processes and data sharing more efficiently. And as Glynis will discuss shortly our cash conversion cycle with higher than our internal targets and expectations in 2017 and we’ll make this a key priority for our team in 2018. Finally, we will continue to invest in our digital marketing platform in our cloud and e-commerce platform. In 2017, we implemented a new marketing toolset that brings multiple data sources together to create personalized experience for clients who interact with marketing generated activities. These tools leverage machine learning, predictive modeling and artificial intelligence making a gain in efficacy overtime. In 2018, we’ll also complete the implementation of a new client health service experience in insight.com aimed at cloud subscription products and services. I’ll now hand the call over to Glynis who will provide more details around certain elements of our financial results and revised financial presentation
Glynis Bryan: Thank you, Ken. Starting on slide 10, Ken covered most of the financial result s for the deal, so I will cover new income statement, presentation of products and services, cash flows, taxes for 2017 and the impact of the recent U.S. Federal tax reform and the changes in revenue recognition effective in 2018. On slide 11 let me start with the income tax statement presentation. On the SEC rules, the company must report services sales separately from product sales on the face of this income statement when sales and services exceed 10% of consolidated sales. We changed the presentation on our income statement for the year ended December 31, 2017 as our services sales were approximately 10% and we expect services to continue to grow overtime. In the new presentation we will report cost, sales and cost of goods sold separately for products which include hardware and software and fire services, earnings releases and public filings and our 10-Qs and 10-Ks. For comparability purposes and our earning release today, net sales and cost of goods sold for the 2016 period have been conformed to the new presentation. Please note that this change in presentation has no effect on previously reported total net sales, total cost of goods sold or total gross profit amounts. In conjunction with this change, certain fees earned from activities recorded on a net basis are considered services under U.S. GAAP. We reclassified certain revenue streams for which we accept remunerations in the transaction to services in that field. Previously we included these revenue streams within the software and to a lesser extent hardware sales mix category based on the type of products being sold. For example, net sales and gross profit earned through the sale of software maintenance and cloud software product were included in software sales and were presented on a net basis in our financial statements. We will continue to put these sales on a net basis but they will be reported in the services line of business. For the year-ended December 31, 2017 and 2016 these streams whereby net sales equals gross profit on the transaction and thus our 100% gross margin was $210 million and $178 million of our total sales respectively. We will post the schedule that provides the quarterly breakdown of this new presentation again for 2015, 2016, and 2017 results and believe this maybe helpful to shareholders and analysts specifically as it relates to mix and seasonality between quarters. Moving on to slide 12 for a discussion on cash flow performance, as Ken outlined earlier, net sales grew 22% in 2017 and in particular our North American business grew 30% or $1.2 billion. This level of growth required significant working capital investment as we have an inverted payment cycle with our vendors versus our customers. In addition, we experienced high demand for inventory acquisitions with key clients and our account receivables balance has gotten ahead of us. For the year ended December 31, 2017 our operation used $305 million of cash down from a $96 million of cash generated in 2016. These results reflect the collection of the single large receivables of approximately $160 in the fourth quarter of 2016 for which the payment to supplier was due and paid in January of 2017. In the fourth quarter of 2015 we had a similar experience of a $60 million receivable collected in that quarter which the payment to supplier was then made in Q1 of 2016. Another item to note is that we report the cash flow associated with trade payable financed under inventory financing facilities in the financing section of our statement of cash flows. In 2017 and most notably in the fourth quarter, we expanded that facility with certain vendor. Have we not leverage the facility, our cash flow is associated with trade payable would have been included in the operating section of our statement of cash flow. Accordingly, our use of cash from operations would have lower than the $3.5 million reported by approximately $141 million. In 2018 we expect to generate between 10 -- $100 million to $140 million in cash flow from operations slightly higher than the previous range that we have given. Moving on to cash – moving down the cash flow statement, in 2017 we also invested $19 million in capital expenditure up for $12 million in 2016 reflecting higher investment in our core ERP systems and our e-commerce and digital marketing platform. We also expect $187 million to acquire Datalink and Caase in 2017 compared to just 10 million is to acquire EMEA in 2016. We did not buyback any stock in 2017 but for comparison we use 60 million to acquire shares in 2016. As noted earlier we expand these of our inventory financing facility which generated $141 million in cash flow for the year, up from $49 million last year. As you may recall, this is a trade payable facility for partner purchases in the ordinary course of business. All of this led to a cash balance of $106 million at the end of 2017 of which $87 million was resident in our foreign subsidiary and $309 million of debt outstanding under our debt facility. This compares to $203 million of cash and $40 million of debt outstanding at the end of 2016. From cash flow efficiency perspective, our cash conversion cycle was 35 days in the fourth quarter of 2017, versus 14 days in 2018. 2016 results were below our target range of 20 to 25 days as a result of the unusually [high BPO] associated with [160 million payment entirely] difference I discussed earlier. 2015 results are above our target range. These increase in the inventory and accounts receivable balances. We expect working capital trend to normalized levels – to return to normalized levels and actions plan in place in 2018 to improve our cash cycle for the year. Please note that there are no collectibility issues with our cash receivable. Next I want to notify you that this week our Board of Directors approved an authorization to repurchase up to $50 million of common stock. Subject to market conditions we will commence this program during 2018. However the guidance we’re getting today does not include the impact of this program as we will monitor our market conditions over the coming months. We can’t update on our first quarter earnings call regarding our progress and expected EPS impact for the year. On slide 13 moving on to the taxes. For the full year of 2017 our effective tax rate increase to 43% compared to 39% in 2016 due primarily to the effects of the U.S. tax cut and job act that was enacted in 2017 which led to the recognition of approximately $13.4 million, an additional income tax expense in 2017. These additional taxes were primarily related to the re-measurement of our deferred tax balances and certain withholding taxes. As we head into 2018, we expect our effective tax rate will be between 27% to 28% for the full-year. This includes the 21% [Indiscernible] component, state income taxes, the impact of limitation of the disasterbility of certain expense and interest expense among other changes related to the U.S. Federal Tax Reform and also the effective earnings in our foreign subsidiaries. Before I hand the call back over to Ken, I wanted to update you Insight of [Indiscernible] earnings recognition issued by the Financial Accounting Board. On slide 14 a substantial amount of work has been completed and while our evaluation will continue through to when we publish our first quarter results, we currently believe that the changes overall will not lead investors to see our operating trends materially different than as reported in prior years. A few things will change however primarily related to sales reported net and the timing of recognition of certain revenue stream. A few highlights are as follows; the renewal of – the accounting renewals of certain term software license will changes to deliver revenue recognition until the beginning of the renewal period. On the current guidance we recognize as revenue as the renewal order is completed. We do not believe that this will have materially effect on our sales and profitability trends and it’s typically a few days difference between the two. In sales transaction for security software products that are sold with related major third party delivered software maintenance we will change both the software license and the accompanying software maintenance on a net basis as the agent in the arrangement. In 2017, we estimate that we had approximately $240 million of lease sales reported on the gross basis that in future periods would be recognize net. This will lead us to report lower net sales in future periods and was reflected in the guidance we issue today. This change would have no material effect on gross profit dollars, but all other things being equal, gross margin would increase compared to prior year. The accounting for inventory is not available for sale otherwise known as whole arrangement will change such that a portion of revenue would be recognize earlier and we’re recognizing on the current accounting standard. [Indiscernible] arrangement are inventory balance is owned and paid for by the client but for which we’re warehousing the product and will be deploying to the client’s location in the future period. At December 31, 2017 we have $37 million of these inventory balances on our balance sheet. I’ll now turn the call back to Ken for his closing comments and we’re now on slide 14.
Kenneth Lamneck: Moving on to our outlook for 2018, for the full year 2018 we expect our business to deliver sales growth in low single digit range compared to 2017. We also expect adjusted diluted earnings per share for the full year 2018 to be between $3.90 and $4. This outlook assumes the effective adoption of the new revenue recognition standards effective January 1, 2018, the effective tax rate between 27% and 28%, and capital expenditures of $15 million to $20 million. This outlook does not include the completion of our recently authorized share repurchase program or any severance restructuring or acquisition-related expenses. Thank you again for joining us today. We want to thank our teammate clients and partners for their dedication to Insight and their contributions to a record year for our business. We're excited to see what 2018 brings to well-positioned to compete and win in the marketplace. That concludes my comments. We’ll now open up the line for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Matt Sheerin of Stifel. Your line is now open.
Matt Sheerin: Yes. Thank you and good afternoon. Just a few questions here from me. Just first --so, Ken on the revenue guide for the year, low single digit. So as you say a few add back at the 240, then you’re looking sort of mid single-digits because in your commentary you sounded like, you felt like this was still be obviously off a very tough comp, last year with that big upgrade cycle, but it sounds like you still think there’s some refresh left and then it sounds like on the enterprise value in terms of solutions, cloud etcetera, there is some pretty strong demand there?
Kenneth Lamneck: Yes. You’re exactly correct on that in all those comments, Matt. So we would expect future account for the recent change there on this software, security software happen to be netted would be in the mid single-digit range for growth for 2018.
Matt Sheerin: Okay. And then on gross margin and it looks like that accounting move will be add, I don’t know, 20 to 30 basis points of gross margin, but I would think excluding that you would think given that there’s going to be a slowdown at least some points, at least in terms of comps under the client device side that you’d be seeing more solutions selling and services which would also boost gross margin. Is that a correct assumption or not?
Glynis Bryan: Yes. Matt, that is correct assumption. We anticipate that we’ll have some gross margin expansion beyond the security, the impact of the security netting affect.
Matt Sheerin: Okay. And just sort of extending that one step if I may, on the operating margin side there are few back into your guidance with the tax rate, it looks like your guiding maybe 10 to 20 basis point improvement in operating margin. I would think that the last big step with the Datalink integration and that the focus on solutions, selling, that you’d see a little bit more operating expense – margin expansion. So what am I missing there?
Glynis Bryan: We are getting the benefits in 2018 of the [incremental $6-ish million] associated with Datalink. We also probably have a little bit of currency impacting there potential. As I think about it we’re on the higher end of your 10% to 28% range in terms of the [FFO] expansion as we think through that. And as we think about the solutions areas there are couple of key investments that we’re making in 2017 related to positioning ourselves around the cloud and the e-commerce platform that can talked about in his opening comments.
Matt Sheerin: Okay. I’ll get back in the queue.
Glynis Bryan: That are in P&L base not necessarily caps but also P&L base.
Matt Sheerin: Okay. Just one other thing I -- and with the higher solutions you also going to have pay higher commission, right, so the SG&A would also commence really rise with that, right?
Glynis Bryan: Yes.
Matt Sheerin: Okay. All right. Thank you.
Operator: Thank you. Our next question comes from Adam Tindle of Raymond James. Your line is now open.
Adam Tindle: Okay. Thanks. Good afternoon, Ken, just as you reflect on 2017 and what unable the double-digit revenue growth for the full year on an organic basis. Can you just parse out how of his is cross selling with Datalink? How must is the strong market? And then maybe just help us with the $524 million for Datalink versus your initial expectations not sure if there was maybe some gross versus net that played our there?
Kenneth Lamneck: Yes. So, no questions, 17% was certainly above market. We track the third-party pretty closely, so certainly indication are that we do grew share, and we grew share specifically and product sets such as devices which was strong overall but we grew faster than the market driven devices. And also in that datacenter, so we grew very strongly with servers and storage devices. On the connotation of Datalink and how much of that participate. We really didn’t start that activity, because the first nine months we’ll focused on, make sure we integrate it, don’t break anything kind of a concept, and then in Q4 we really started to say, how do integrate Datalink more into the traditional insight clients. And as you know those are pretty long design cycle, so, we’re pleased with what we’re seeing. We definitely expect to see some pickup there in 2018 from that activity. So, your last question was around Datalink around $524 million. So yes, that was as you remember when we first took on Datalink that was a netting from our accounting practices that we originally took into consideration when we bought it in a year ago in to the business. So that had certainly an impact. And there was I would say that the scenario that we probably could done a better job on we could have probably grown the top line sales pretty well. We’re very pleased with the gross profit generation and we’re pleased with the services business there, but there is some probably some product sales maybe initial that we left on the table there, initially with Datalink, but overall as I’ve said in my comments very please with how Datalink’s come into play and really now be in full integrated and we’re able to now with the Datalink account start to sell a lot of the traditional sort of supply china business as far as devices, software that they didn’t sell and then vise versa using those great artitects that they have into the traditional insight clients where we maybe as penetration in the data center solution areas, so that’s coming into play pretty nicely in 2018.
Adam Tindle: Okay. That’s helpful. I also wanted to touch on gross margin particularly in North America, I think ex-Datalink its probably still somewhere in the 11% rate, 11% and 12% range? I know you’ve bee establishing the relationships with the large customers. Can you just maybe talk about some of the moving parts impacting gross margin in North America and on the comment about an uptick in 2018 and gross margin, is that, I mean I know the conversion of 606 is going to add like 50 basis points based on what is was in 2017. We would have strip that out is [gross margin X3] accounting change still going to be up as well?
Glynis Bryan: Yes, Adam, so we do anticipate that gross margin X3 accounting changes going to up 10 to 20 basis points over for North American particular and that kind of translates as well at [the IEI] level ultimately, so that’s the expectation that we have for 2017 – 2018 sorry. 2017 was impacted by couple of very large clients that we talked about on prior calls with regard to business that we were doing, our land and expand strategy around. 2017 was a land year. We knew what we were doing when we went into those accounts. We had a significant revenue growth per piece associated with that, that revenue growth is continuing into 2017, 2018, but we’re expanding the capabilities that we do with both client such that we’ll generate greater margin coming out of those clients and that was a part of the strategy that we were executing against in 2017 and we’ll see some of the benefit of that going into 2018. Datalink performed well from an overall gross margin perspective. We’re anticipating that that performance will continue and that they will have growth this year. Whereas they didn’t meet our growth expectations quite so much for last year for some very good reasons, but didn’t quite meet our growth expectation, so with that we will have higher growth and devices were a very significant driver of revenue last year and the sales to the lowest product, lowest margin product within our portfolio. And this year we do expect device growth to continue but not at that same pace. So we expect to see just naturally some rationalization of the gross margin associated with that. And one of the things we talked about was the underperformance of our core services operations in 2017. And we think we’re seeing some indications from bookings etcetera that’s going to stronger going into 2018, and then that higher gross margin that will also help us ultimately in the mix of the portfolio changes in 2018.
Adam Tindle: Okay. That’s helpful. Maybe just one last one for Ken on the decision to authorize the buyback at this point, it was seem like Datalink has overall done well and given the market is so fragmented there would be more of those opportunities out there. And maybe this doesn’t preclude from pursuing that, but may just talk about the trade off that you and the board considered when deciding o do the buyback authorization now? Thanks.
Kenneth Lamneck: No. I think good question, Adam, and certainly agree with you. We don’t think it preclude us at all, so we’re always looking for opportunities that make sense to expand our portfolio growth from the scales point as well as scale where it make sense so we don’t believe it at all that the $50 million buyback will preclude us form engaging and considering another opportunities in the market. So we definitely took that in concentration.
Glynis Bryan: I’ll just add on to that, Adam. We have the 50 million authority and we’re just going to evaluate market conditions etcetera with regard to when we execute that. We have up to 50 million and we can be selective as when execute that for 2918, that’s why it’s not included specifically in the guidance at this time.
Adam Tindle: Make sense.
Operator: Thank you. [Operator Instructions] Our next question comes from Cara Anderson of B. Riley & Company. Your line is now open.
Cara Anderson : Hi, good afternoon.
Glynis Bryan: Hi, Cara.
Cara Anderson : Most of my questions have been asked but are you seeing any evidence of expanding IT budget from access capital to deploy under tax reform?
Glynis Bryan: I don’t think that today we’ve seen that. We have an expectation or maybe an anticipation that that would happen because they get some accelerated deductibility under the new laws going forward. They get deducted from a tax perspective with the cash timing benefits that they get. But today we haven’t seen any acceleration of that coming through from our very large clients today, maybe a little earlier if they kind of working through budget consideration as well, but we have seen that yet. And they have it over the next five to 10 years, [Indiscernible] continues till 10 years, but they do still have a benefit any time over the next at five years that they can accelerate that.
Cara Anderson : Got it. Thank you.
Operator: Thank you. And we do have a follow-up from Matt Sheerin of Stifel. Your line is now open.
Matt Sheerin: Yes. Thanks. Just a couple of more from me, one, on the – if you look at some of the competitors, Ken, did talk about some supply chain bottlenecks on a net working and storage side that kept them from closing deals in the quarter. Did you see any of that? And then in terms of memory component environment, it looks like you were starting to see signs at least of some ASP stability if not erosion in capacity coming on line. What kind of impact does that having on your business?
Kenneth Lamneck: Yes, Matt, the networking in the storage side, we actually, certainly we are aware of it and we seem to work through it pretty well for our client set. So there was a few deals certainly that they would happen in the quarter that have shifted in the Q1, but nothing of material nature for us. Our teams really work well together regard to support our clients, so we feel we’re in pretty good shape. But it wasn’t anything that a significant that would have called out for our business. On the memory component side, yes, you’re on top of that certainly with the portfolio of products that you track pretty well. And certainly that’s had a pretty significant impact on the ASP increment for devices over last year on 2017 and into 2018 which is why our comments were that we – all the data we had, so it look like that that’s going to pretty much hold through the first half of the year. We don’t know what the half will met or bring, maybe more people start to compete and lower memory prices and that actually translate into lower ASPs for devices that we sell, we’re not really sure yet, but today the supply should manage well through those increases and of course we past those increases on. We think for our business it’s probably the ASP, impact of capacitors and memory type device, increase is its probably about 7% in total for the device itself, so its had meaningful impact on I think the revenue increases that we’ve all seen for devices over 2017 and we think into the first half of 2018.
Matt Sheerin: And I appreciate you don’t give guidance for the first quarter and just for the year, but last year you came out of block obviously very strong much better than seasonal with that big client device upgrade. Are you seeing more seasonal trends as we into Q1 here, I mean that’s what basically most of your competitors are saying?
Kenneth Lamneck: Yes. I would say so. I think you’re correct in that regard. I think those on the device side of things there is -- which I think it will actually should stabilized to some degree that Win 10 has not been fully adopted by any mean and I think clients will continue to adopt Win 10 in their environment and that’s going to lead of course to the device upgrades, the security aspect so relevant to everybody that there’s a lot of good reasoning to upgrade to Win 10 in the marketplace and we see client doing that in a measured way, they’re not rushing to do it, but we see in the measured way which I think should – we see as an important element for ourselves for devices for 2018.
Matt Sheerin: Okay. All right. Thanks a lot, Ken.
Operator: Thank you. And ladies and gentlemen, this does complete our question and answer session. Thank you for participating in today conference. This concludes today program. You may all disconnect. Everyone have a great day.